Operator: Greetings and welcome to the United National Foods Third Quarter Fiscal 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Miss Halie O'Shea, Director of Investor Relations and Corporate Strategy. Thank you, Miss O'Shea, you may now begin.
Halie O'Shea: Good afternoon and thank you for joining us on UNFI's third quarter fiscal 2017 earnings conference call. By now you should have received a copy of the earnings release issued this afternoon. This press release and webcast of today's call are available under the Investors section of the Company's website at www.unfi.com. On the call today are Steve Spinner, Chairman and CEO; Sean Griffin, Chief Operating Officer; and Mike Zechmeister, Chief Financial Officer. Before we begin, we'd like to remind everyone that comments made by management during today's call may contain forward-looking statements. These forward-looking statements assess plans, expectations, estimates and projections that might involve significant risks and uncertainties. These risks are discussed in our earnings release and SEC filings. Actual results may differ materially from the results discussed in these forward-looking statements. In addition, in today's earnings release and during the call, management will provide GAAP and non-GAAP financial measures. These non-GAAP financial measures include adjusted net sales, adjusted operating income and adjusted earnings per diluted share, EBITDA, adjusted EBITDA, leverage and free cash flow. For a reconciliation to the most directly comparable GAAP measures, please see our earnings release or visit our website at www.unfi.com. I'd now like to turn the call over to Steve Spinner.
Steve Spinner: Thank you, Halie. Good afternoon, everyone. Today, I'll provide some brief comments on our third quarter fiscal 2017 and an update on some of the initiatives we're excited about at UNFI. As we turn toward the end of our fiscal year and think about fiscal 2018, there was a lot we're doing to move UNFI forward. We work in an industry that is constantly changing and we need to evolve with it to meet the needs of our customers and suppliers. Our building out the store strategy continues to be our vision for UNFI's long-term growth, and the team executed well against these plans during the third quarter. I am extremely proud that we completed the integration of Haddon House and Gourmet Guru during the third quarter. We completed Haddon House in just 10 months. This would not have been possible without the hard work and dedication of our associates. Although integrations are never easy and this quarter was no exception, it was successful despite some short-term disruption during the quarter. Now I am going to speak more about the opportunities we're seeing as a result of our recently acquired businesses in a few minutes. During the third quarter when compared to the prior year period, we were pleased that adjusted EBITDA grew 6.3% and gross margin expanded 34 basis points to 15.46%, which is a credit to our teams focused on creating value through highly disciplined expense and pricing control. We generated free cash flow of nearly $49 million. We demonstrated strong working capital management. Working capital was up 2.5%, inventory was up 5.8% even with net sales growth of more than 11%. We accomplished this at a time when our industry is facing real challenges from deflation. Same-store sales at many of our retail customers were under pressure or negative during the quarter. Our retail customers are facing competitive pressure not only from other food retailers, but also from many channels now carrying assortment of better-for-you products and UNFI is not immune. We continue to experience deflation, which was negative 17 basis points excluding Haddon House during the quarter. Deflation in produce was around 2%. This was an improvement from the second quarter; however, reflects a headwind compared to the year ago period when we had inflation of 1.25%. The general lack of inflation also caused what we believe to be a short-term pressure on gross margin dollars, which Mike will speak more specifically to momentarily. Although industry headwinds have not abated, we see some reasons for cautious optimism. Deflation has continued but is moderated. We believe UNFI is well positioned for growth as the broader industry backdrop improves over time. Natural and organic remains a bright spot in the food retail industry. Consumer demand for natural and organic products remains strong. Sales in products with natural positioning were up 8% for the 52 weeks ended April 16, 2017, according to SPINS. This measure reflects aggregate products with natural positioning in retail channels including conventional, mass, natural, and specialty. The industry continues to grow and UNFI is deploying significant sales and supply chain resources to take share. Our highly skilled enterprise and regional teams are focused on customer category expansion across many exciting new buyers of better-for-you products. eCommerce in particular is a channel where natural and organic is growing rapidly, and we believe we have extensive capabilities. In the third quarter, we extended our eCommerce platform to Northern California, in our Gilroy California distribution center. Our eCommerce sales were up 1% and 12% over the prior year comparable quarter and we continued to have rapid growth with our largest customers in this business. We work with both internet retailers and with brick-and-mortar retailers that are looking to offer their customers greater variety or endless isles of products and categories like free beacon, vegetarian, health and beauty, supplements, baby food, and specialty snacks. We provide fulfilment either on a direct-to-consumer basis or direct-to-store always on behalf of UNFI's business customers. We have a strong pipeline of new business. We're getting a lot of base hits, resulting from the migration of our sales force to a single sales team with associates representing and selling across all UNFI categories. This has helped accelerate our building out the store strategy moving forward. We are gaining momentum with our initiative to build out a national fresh platform that includes bakery, deli, and conventional produce; and with the Nor-Cal acquisition, we gained important knowledge and expertise in conventional produce, which has been an integral part of this effort. To continue this important initiative, we recently restructured our produce business and it is now led by Bill Schultz, who until recently served as the Chief Operating Officer of Haddon House and has over 20 years of perishable distribution experience. During May, we had two UNFI food shows, one in Foxwoods Connecticut and the other in Long Beach, California, and I can't remember any shows that we have that have been so well attended by both suppliers and retailers. The shows had more than 2,000 suppliers and over 3,000 retailers attended. This clearly demonstrates UNFI's continued leadership role within the industry attracting customers from every major retailer across the country, and we showcase fresh produce cheeses from all over the world, proteins, exciting new products, floral, deli, prepared foods, and so much more. With initiatives like UNFI Next, we have superior capability in sourcing, supporting, and incubating our new and emerging brands. Combining the efforts of our UNFI Next team with the sourcing capability of Gourmet Guru, we believe we've created an unparalleled platform of unique and emerging brands to offer our customers. We're also moving forward with our new supplier services business. As part of our acquisition of Haddon House, we acquired this capability, further differentiating UNFI with our suppliers. It enables us to provide direct representation within our customer base with truly unique in-store sell-through programs. During the third quarter, we completed the integration of Haddon's distribution center in Howell, New Jersey. This followed the conversion of Haddon's South Carolina facility on to UNFIs infrastructure and warehouse management system during the second quarter. The two distribution centers have now been fully integrated and we see a significant opportunity to grow by adding each company's products to distribution centers throughout the country. We've been very pleased with the expansion of our specialty and full-service capabilities into Chicago metro area after moving Haddon product to our Racine distribution center. We're excited about these growth initiatives. However, as I mentioned, UNFI and the industry are facing numerous headwinds. As a result, we continue to look for greater efficiencies within our organization and today we announced an expansion of the restructuring we first spoke about on our second quarter fiscal 2017 call on March 08, 2017. It is primarily related to expenses for severance and other employee separation costs, mostly related to the recently completed integration of several of the acquired businesses. As a result of these actions, UNFI expects to incur restructuring charges of between $3 million and $4 million before taxes during the fourth quarter of fiscal 2017, and these charges are in addition to the $3.9 million in restructuring charges we incurred during our third quarter that we talked about during the last quarterly call. Mike will discuss our guidance and how we expect the restructuring and related savings that impact our outlook for the balance of the fiscal year and next year. In summary, we believe our sourcing capabilities, our recent acquisitions, our reorganized sales force, our strong balance sheet, and demonstrated leadership within better for you distribution will provide long-term growth and enable us to achieve our strategic objectives. Building out the store continues to be our winning formula as we take advantage of our significant North American infrastructure to expand into fresh eCommerce and new customer channels. And now, I'll turn the call over to Mike to provide some additional financial detail, Mike? 
Michael Zechmeister: Thanks Steve and good evening, everyone. Net sales for the third quarter of fiscal 2017 were $2.37 billion, which represents growth of 11.1% or approximately $237 million over the third quarter of last year. Net sales finished below our expectations in the third quarter, driven by broad based retail softness, the rationalization of business in conjunction with our margin initiatives and lack of inflation. Regarding our recent acquisitions, due to the progress we've made on integrating global organic Nor-Cal Produce, Haddon House and Gourmet Guru, their financial results are no longer separable. That said, we estimate that the acquisitions contributed approximately seven percentage points to net sales growth in the third quarter. In the third quarter fiscal 2017, we experienced deflation of approximately 17 basis points excluding the impact of the recently converted Haddon House warehouses. The result was a slight improvement versus the second quarter of this year, but the lack of historic levels of inflation continues to be a headwind to our net sales growth and to our margins. From a channel perspective, supernatural net sales were up approximately 4.8% over last year's third quarter and represented 33.7% of total net sales, which was a 203-basis point reduction in net sales concentration versus the third quarter of fiscal 2016. Supermarket channel net sales increased 27.5% in the third quarter versus third quarter last year and landed at 28.7% of total net sales. Supermarket's concentration was up 369 basis points versus third quarter last year. The Independent channel grew 7.3% in the third quarter versus last year and represented 26.9% of net sales in the quarter. Food service net sales were up 5.6% over the third quarter last year and eCommerce as Steve mentioned, increased approximately 12.3% versus last year. Neither food service nor eCommerce was significantly impacted by the recent acquisitions. Gross margin for the quarter came in at 15.46%, a 34-basis point improvement over last year's third quarter. The increase was driven by acquisitions and margin improvement initiatives, partially offset by the lack of inflation and competitive pricing pressure. I am encouraged by the progress we are making on our margin initiatives. Due to the lack of historic levels of inflation, the results of our margin efforts are somewhat muted. Consider that our business model delivers 30 to 40 basis points of gross margin and EBITDA margin expansion each year from just 2% more inflation. The lack of that level of inflation particularly across the center of the store has been a headwind in our results for the past five quarters. Operating expenses for the quarter were 12.72% in net sales, a 69-basis point increase compared to the third quarter of last fiscal year. The year-over-year increase was driven by higher expenses from acquired businesses, which have higher cost to serve their customers and the associated integration cost in the quarter. Operating expenses for the third quarter of fiscal 2017 also included $3.9 million of restructuring expenses as well as an increase in healthcare, depreciation and amortization and stock-based compensation expense, which were largely offset by leverage and savings from margin initiatives in the quarter. Fuel cost for Q3 of fiscal 2017 increased five basis points as a percent of distribution net sales compared to the third quarter of fiscal 2016 and represented 42 basis points of distribution net sales. Our diesel fuel cost per gallon increased approximately 8.6% compared to the third quarter of last year and our increase was less than the Department of Energy's national average price per gallon for diesel in Q3, which increased 23.6% or $0.49 a gallon over the third quarter of last year. Compared to the second quarter of this fiscal year, our diesel fuel costs were down 1% or $0.02 a gallon. For the same period, the Department of Energy's national average price per gallon for diesel was up 2.5%. Our favorable position on diesel fuel and cost per gallon versus the reported national average is primarily the result of unfavorable fuel locks in previous comparable quarters which have expired in Q2 of this fiscal year. Share-based compensation expense represented 20 basis points of net sales in Q3 compared to 15 basis points in the third quarter of last year. On a dollar share basis, share-based compensation expense was up $1.5 million to $4.7 million compared to $3.2 million in the same period last year. Compared to Q2 of this fiscal year, share-based compensation was 12 basis points as a percent of net sales. Operating income for the third quarter was $64.9 million, a decrease of $1.6 million from the same period last year and adjusting for the restructuring expenses incurred in the third quarter of fiscal 2017, operating income increased 2.9% to $68.9 million compared to adjusted operating income in Q3 of last year, which excluded acquisition charges. Interest expense in Q3 was $4.2 million, which was $0.2 million lower in Q3 of last year due to a 72-basis point reduction in the average interest rate and offset by approximately $60 million more debt versus Q3 of last year. The Q3 average interest rate reduction is due to the previously disclosed debt refinancing and rate locks that were completed over the past five quarters. For the third quarter of fiscal 2017, the company reported net income of $36.6 million, a decrease of approximately $1.7 million over the third quarter of last year. Earnings per share was $0.72 per diluted share in Q3 compared to $0.76 per diluted share in Q3 of last fiscal year. Adjusting for the impact of restructuring charges recognized in the third quarter of fiscal 2015 and the acquisition cost in the prior period, adjusted earnings per diluted share was $0.77 which was flat to a year ago. EBITDA for the third quarter was $86.4 million, an increase of $2.7 million from $84.1 million in the same period last year and adjusted EBITDA was $90.4 million during the third quarter, up $6.3 million -- I am sorry, 6.3% versus Q3 last year. Total working capital at the end of Q3 was $984 million up 2.5% versus Q3 of last year compared to our net sales growth of 11.1% over the same period. The working capital favorability was due to targeted initiatives that improved days of inventory outstanding and day's payables outstanding in Q3 versus last year. In the third quarter, our capital expenditures landed at approximately $17.3 million or 0.7% of net sales, an increase from 0.4% of net sales in the third quarter last year. We generated free cash flow of $48.9 million in the third quarter of fiscal 2017 compared to $72.4 million a year ago and at the end of third quarter, debt to EBITDA leverage excluding our operating leases was 1.51 times equal to the lowest leverage over the past three years. Sequentially leverage was down 0.31 times from 1.82 times at the end of second quarter. Outstanding letters of lender commitments under our credit facility were $883 million excluding reserves at the end of the third quarter with a bit towards available liquidity of approximately $565 million, including cash and cash equivalents. Earlier today, we announced an expansion to the restructuring initiative announced last quarter. With this expansion, we expect to incur additional restructuring charges of between $3 million and $4 million before taxes during the fourth quarter of fiscal 2017. These charges are primarily related to severance and other employee separation costs in connection with recently completed integration actions on several of our acquired businesses. These actions are expected to result in annualized savings of between $8 million and $9 million before taxes, in addition to the savings we expect to generate restructuring initiatives we announced last quarter. So, in aggregate, the restructuring program will now result in pretax charges of between $6.9 million and $7.9 million in fiscal '17 and we anticipate annualized savings from the combined initiatives to be in the range of $15 million to $17 million on a pretax basis with approximately $4.5 million to $5 million of that savings expected to incur in fiscal 2017. The remaining savings will be included in our fiscal '18 guidance that we expect to deliver in September. We also reported on the sale of our investment in Kicking Horse Coffee, a Canadian roaster and marketer of organic and fair-trade coffee. The sale closed after the completion of our third quarter on May 24. As a result of that sale, we expect to recognize a gain of $6.1 million before taxes in our fourth quarter results. With an original investment of approximately $3.1 million, the gain is a successful outcome against our strategy of cultivating our minority investments in high potential brands. As indicated in our press release, we are revising certain components of our guidance for fiscal '17 that was provided on December 07, 2016 and updated on March 08, 2017 based on our performance to date and our outlook for the balance of the fiscal year, including the impact of expenses associated with the restructuring program and proceeds from the sale of our investment in Kicking Horse Coffee. For our fiscal year ending July 29, we anticipate net sales in the range of $9.29 billion to $9.34 billion up $9.7 billion to $10.3 billion over fiscal 2016 compared to our previous guidance of $9.38 billion to $9.46 billion. The guidance range for GAAP earnings per diluted share and adjusted earnings per diluted share is unchanged from the range given on March 8 with adjusted EPS excluding the gain on sale of the company's interest in Kicking Horse Coffee and the additional restructuring charges described previously. We continue to anticipate capital expenditures for fiscal 2017 in the range of 0.5% to 0.6% of net sales and free cash flow of $150 million to $175 million and finally we now expect our tax rate for fiscal 2017 to be in the range of 39.3% to 39.6% compared to previous guidance of 39.7% to 40.1%. At this point, I'll turn the call over to the operator to begin the question-and-answer session, operator?
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator instructions] Our first question is from John Heinbockel of Guggenheim Securities. Please go ahead.
John Heinbockel: So, Steve with the combined sales organization, I imagine that would show up first in existing account penetration as opposed to new accounts. Is that right, are we beginning to see that yet and when does produce go into Hudson Valley and Denver?
Steve Spinner: So, John, the first part is that we have obviously completely completed the integration of the one sales team, and so we are now a couple quarters into fully functioning in that way and so really the intent was couple things. First and foremost, to really get a lot of base hits, smaller base hits where we are taking advantage of opportunities within our independent customer base, our regional chain customer base, and we certainly are starting to see that. A little bit difficult to see it through the clouds of kind of deflation and the related headwinds, but we're starting to see a lot of base hits, which is really what we anticipated. At the same time, we put together what we feel is a really strong national sales force or enterprise sales force that is going after alternative channels, channels that we've never really been in before, a much more narrow focus on eCommerce and those things are all taking place outside of the one sales team structure.
Sean Griffin: John, this is Sean and to add to Steve's comment, I think you're right to the think about it in terms of penetration, first as a result of the one sales team effort across categorization etcetera and there is a tremendous amount of activity in that regard, but we're also seeing wins. As it relates to the produce question, keep in mind that we are in produce distribution in our Bridgeport Pennsylvania distribution center with Albert’s. So, we penetrating into that market today.
John Heinbockel: Okay. Are we…
Sean Griffin: Really, I think -- it's really a question of we're pretty national on our produce today. There was just a couple pockets where we don't have coverage, but we're much more focused on rolling conventional around the country and that's a much more competitive area that we wouldn't want to get into discussing where it's being deployed now.
John Heinbockel: All right. And then secondly, I think you guys have said you wanted to get Haddon House integrated and then you would be ramping up M&A again. So, you've done that, are we now poised to see that pickup -- activity pick up again? What does the pipeline look like?
Steve Spinner: Yeah John we worked hard over the last year. As you know four acquisitions is very hard work for a lot of people, integrating Haddon in 10 months we had a lot of people that did a heroic job to get that done, and so I think we're going to continue to let the integrations continue, let the one sales team to have more and more success in getting deployed. Obviously, if there was an acquisition that made a lot of sense, we wouldn't walk away from it, but I think our focus right now is to continue to see the United sales force take hold and once we feel comfortable that we're good to go and people had a chance to breathe, then we'll go back at it. As you know, we've got a really strong balance sheet and we're protecting that balance sheet so that we can start getting back on to the M&A campaign as soon as the time is right.
John Heinbockel: Okay. Thank you.
Operator: Thank you. The next question is from Rupesh Parikh of Oppenheimer. Please go ahead.
Rupesh Parikh: Thanks for taking my question. So maybe to start out Steve with your commentary in the press release about the broad-based food retail softness, clearly, we've see challenges with all the specialty retailers last several quarters. So just wanted to get a sense of where you guys saw incremental pressure this quarter maybe versus your expectations?
Steve Spinner: Yeah, I can't really comment on our expectations, but obviously Rupesh you know as well as anyone that when you look at general same-store sales year-over-year, quarter-over-quarter, many of the retailers across most of the channels are facing some real headwinds in terms of growth. And as part of that, we've seen certainly a fair number of store closing as retailers are coming together, and so in the near term that's been a real headwind for us, but inflation will return. That will make it a little bit better. We'll get some stability in overall unit growth and so like I said in my comments, I am cautiously optimistic, but everybody is seeing the same data that we are and we just got to work our way through it.
Rupesh Parikh: Great. And I guess Steve on the comment about closing, so as you look at going forward, how much visibility do you have into store closings from your retailers and do you expect them to accelerate going forward?
Steve Spinner: We see it when you see it. We don't really have any clarity into it. I think that again I am optimistic, and so I think that we've seen I think the worst of it is behind us and whenever you get inflation returning, that just kind of seems like it's the tide that lifts all ships and that we feel good that we're going to start seeing more and more of that.
Rupesh Parikh: Okay. Great. Thank you.
Operator: Thank you. The next question is from Eric Larson of Buckingham Research Group. Please go ahead.
Eric Larson: Yeah. Good afternoon, everyone. Thanks for the question. Could you give us a quick update? I think that you had spoken about onboarding. I think it was about $100 million worth of new customers. I believe it was this year. Is that going according to plan? Is it a little bit behind? How would you characterize kind of your new customer build through the third quarter?
Sean Griffin: Yeah hi Eric. This is Sean. Thanks for the question. Actually, we're tracking on that $100 million in customer wins that we previously announced. However, in the context of Steve's comments the overall landscape, the terrain at retail is masking that activity in terms of it printing. So, the teams are doing a great job. The outcome from the region structure is working. We certainly would like to see that continue. We believe it will, but the overall landscape just continues to be challenged for us.
Eric Larson: Okay. Thanks Sean. And looking out to 2018, you guys continue to generate a lot of free cash this year. Your leverage ratio is down, and it's very attractive. You're not levered hardly at all at this point. Can you talk about your CapEx needs for 2018? Obviously, revenues have been a little softer than you had expected. So, are your capital expenditure needs going to accelerate at all in the next year? Or will they remain kind of the net 0.5% of sales range going forward for at least another year?
Michael Zechmeister: Hey Eric, this is Mike. We haven’t provided any guidance for fiscal '18 specifically. What we have said in the past is that with the kind of growth that we would expect that our CapEx would land around 1% of sales over the longer-term, but as you know CapEx can be very chunky because if you build a new warehouse, you're talking about $30 million to $80 million potentially depending on the size and capability of the warehouse and so that can add a lot on to a year when you do that. We haven’t talked about the need to build any new warehouses in the near future. It's possible we could have some expansion, but we'll give you more color on that when we provide guidance in fiscal '18.
Eric Larson: Okay. And then just one final question. I believe -- and you kind of gave a rough number of sort of 7% -- seven percentage points of your 11.7% growth in the quarter top line came from acquisitions. And again, I know that, that's a difficult number to come by. But that 4.7% actually looks like an acceleration from Q2. Can you discuss that briefly, if that is accurate or not? And what might be the drivers of that?
Michael Zechmeister: Yeah Eric, it's Mike again. So first of all, just to clarify. The growth in the quarter with 11.1% and we do estimate seven percentage points coming from acquisitions, which would put the core growth at 4.1% and that is a little bit better than we've seen here recently and I think even with the retail landscape as it is and with some of the initiatives on margins that we've done, we're feeling we've signed up new customers that Sean talk about. We're tracking against that 100 million and that core growth number is getting better for us.
Eric Larson: Okay. Yes, sorry, I misquoted the total quarterly growth rate. Thanks, and I'll now pass it on.
Operator: Thank you. The next question is from Andrew Wolf of Loop Capital Markets. Please go ahead.
Andrew Wolf: Hi. Good afternoon. So following on, on Eric, was the cadence in the quarter, was it also improving and could you tie that into why you're trimming the guidance? Is it on the inflation side or is it on, is there something going on with customer rationalization is that what you're eluding to?
Steve Spinner: You're talking about the -- you're talking about why did we trim the sales guidance in Q4?
Andrew Wolf: Yeah, I am just -- you got 4.1%, I guess is that an improvement, but still below what you expected and so just sort of its better, but not what you thought it would be even better than that. I am just trying to get a sense for why you trimmed the sales guidance?
Steve Spinner: I think that there is -- I would answer it tow ways and I would like Sean or Mike comment. So, one is certainly we tend to be cautious. Two we see the trend that we saw in Q3. We had hope it would be a little bit better than it was and so we guide to what we see. We feel great about the discipline in our pricing and our margin control and our expense control, our overall sales growth, little bit harder to track right now and so I think we take the trend. We look at the trend and apply a certain amount of reality to it and that's why we revised to what we did.
Michael Zechmeister: Yeah, I'll just add a little more color there too, just as you do the math on our acquisition as we've entered into Q4, we lapped completely the global acquisition. We did that in Q3. We lapped the Nor-Cal acquisition in Q3 and then a couple of weeks into Q4, we also lapped Haddon House and so it's just Gourmet Guru that impacts the full quarter in just a couple of weeks of Haddon House in terms of year-over-year, which is why if you do the math on the net sales first quarter, it's quite a bit lower than our year-to-date net sales growth. It really has to do with lapping these acquisitions, but embedded in there is a good growth number.
Andrew Wolf: Okay. You anticipated my -- so just for the cadence, I think the guidance implies the core growth number is a little higher than what you just, a little too, a little more than a little higher than what you just reported before one. Is that how you -- what it looks like?
Michael Zechmeister: Yeah, we've got -- like I said we've got Gourmet Guru it is full quarter with wasn’t in last year. We got Haddon for a couple of weeks and then the rest is the core growth, which includes the onboarding of the new customers that we talked about and an acceleration in the [Hupa] business from Whole Foods as well.
Andrew Wolf: And a last follow on, on your core growth, you guys had a look into how much of that is same-store sales at all your customers maybe tracking same line sales versus penetration and if you do, do you have a sense of how that -- could you share with us a lot of people would like to know how the retailers, what are you seeing with the same-store sales?
Steve Spinner: Yeah, we do track it, but obviously we would never comment on any particular retailers same-store comps. We see the same data we do.
Andrew Wolf: I was actually asking in aggregate, so you wouldn't be giving away anything.
Steve Spinner: Yeah, it's pretty hard to comment on that in aggregate Andy, but keep in mind one thing that we do get the benefit of it. Certainly, as retailers open up new stores, we get the benefit of the new stores and also of course the category expansions, which again may create distortion as it relates to same store.
Andrew Wolf: Absolutely. And if I can sneak one last in, so last quarter you said you had $50 million drag from low-inflation thinking in the broad line substance. In this quarter, you can interpolate it's less than that, but it's still a big number. As we think about the earnings impact of that, is it as simple as saying here is our gross margin estimate on what those sales would have been and all those gross profit dollars what would have otherwise have been normal inflation environment had flowed through to down…
Michael Zechmeister: Yeah, that would be a safe exercise to go through.
Steve Spinner: And then I would also layer on another thing that happens when we have inflation relative to when we don't, which is our opportunity to take on a little extra inventory of products before the price goes up and enhances our margin that way too.
Andrew Wolf: Okay. Thank you.
Operator: Thank you. The next question is from Scott Mushkin of Wolfe Research. Please go ahead.
Mike Otway: Hey guys. This is actually Mike Otway for Scott. Thanks for taking the question. Steve, I guess I want to start with a longer-term question on sales and perhaps margin. You referenced out that kind of building the store strategy is your vision for long-term growth. Is there a way to help frame the size of that opportunity just contextually and then balancing that with that strategy in the context of the challenges that you see from your retail partners?
Steve Spinner: Yeah, obviously we've got the works done internally around the size of the flesh category and what we do is we take what we think is our market share a natural and organic and we apply it to the total size of the price in fresh and it's a pretty significant number. So, we feel really confident that the fresh strategy is a good one and if we can achieve the same market penetration in fresh that we already have in natural, it's going to be a homerun for us. But we're not at a point where we would disclose that number as we continue to roll out and deploy fresh across the country. We build the infrastructure. We integrate the acquisition and so I think as we get a little bit mature and more mature in the process get through some of the deflationary pressure not only in produce but in some of the protein, it will make it much easier for us to depict how well we're doing it across that strategy. But I have a high degree of confidence that it is the right one and we are far more advanced than anybody in the industry as it relates to infrastructure and process sales force than anyone else to get it done and get it done in a big way.
Mike Otway: I appreciate that and then I guess on the margin side and outside of acquisitions and let's say for argument sake or discussion sake that neutral inflation or deflation, how do you guys think about the operating margin structure of business. You talked about you got some cost savings next year and this is long-term, but you also call out some pricing pressure on the gross margin side. X some of these things that you can't control, do you see the business leading to operating margin expansion on a year-over-year basis as you work internally to drive efficiencies?
Steve Spinner: Yeah Mike. Again, we haven’t provided guidance specifically for fiscal '18 with respect to margins, gross margins or EBITDA margins, but what we have said is that over the longer term that we would expect EBITDA margins to remain relatively consistent and that is comprised of some gross to get in the context of your question which is neutral on inflation, gross margin pressure that we offset with operating expense improvement.
Mike Otway: Okay. I appreciate you taking the question, thank you.
Operator: Thank you. The next question is Stephen Tanal of Goldman Sachs. Please go ahead.
Stephen Tanal: Just a follow-up on the organic growth comments before and sort of way you're tracking, I guess to the extent that in the third quarter, the 4.1ish kind of a growth rate, was you said a little bit softer than you hoped. Could you comment on which lines of business are underperforming and which or maybe outperforming is sort of do you think about the different cohorts?
Steve Spinner: Yeah obviously the biggest negative influence in the quarter was produce and that's just very, very high rate of deflation not only in the quarter, but all year. I forgot what the produce deflation was in Q2, but it was double digits, right. So, it was a big number and so produce is a big driver all year along, a big drag all year along. And so, I think we're starting to see some of that come back, but other than the produce, I think it's just -- it's pretty much across the board. We're not seeing in any one particular area.
Stephen Tanal: Got it. Okay. That's helpful and just on the second part at that, the deflation outlook, I think you mentioned that in the headwinds you saw on 3Q more or less continued. I know it's far from perfect, but we saw PPI for broad consumer foods actually turn inflationary in April and I guess we've seen some relationship for you guys for your margins. But any thoughts there, is that really not worth looking at or do you think that you actually might turn to inflation pretty soon here at least on your cost on that side of things.
Steve Spinner: Yeah, we were pretty close to zero obviously in the quarter and I can tell you if you look within the quarter, things month by month, things got a little bit better as we went forward and in fact we talked about produce, but we did see inflation in produce in the last month of our quarter. So, it doesn’t give you any insight, any clear insight into where we're headed, but it does certainly seem to be improving.
Stephen Tanal: Got it. Okay. Thanks a lot guys.
Operator: Thank you. The next question is from Chuck Cerankosky of Northcoast Research. Please go ahead.
Chuck Cerankosky: Good afternoon, everyone. We're hearing a little bit about the convenience store channel trying to include more fresh products, better quality fresh products. Is that channel an opportunity for United especially given their order size?
Steve Spinner: Yeah, that's a tough one Chris, Chuck I am sorry. The skew offering is pretty limited and so in that channel we can work on a crosstalk basis. We're not delivering direct to the storage. We're delivering to other distribution centers and having somebody else actually bring it out to the store. But we can help with product selection. We can help with product sourcing. We can help with supply chain and making sure the products are moved around the country in the most efficient way that it possibly can, but the skews are pretty limited.
Chuck Cerankosky: All right. Thank you.
Operator: Thank you. The next question is from Chris Mandeville with Jefferies. Please go ahead.
Chris Mandeville: Hey good afternoon. Steve please don't call me, Chuck. Just starting off, can you elaborate a limit bit on the business rationalization, the way you're seeing that what channels and how that maybe has impacted the margins in the quarter and what to expect going forward?
Sean Griffin: Sure. Hey Chris, this is Sean. Again, just to re-acclaim, we migrated to a tri region, three region structure with presidents and teams leading on not only sales, but margin meeting expense right on through the P&L. So, rationalization is an outcome of that to the extent that the business feels that for example that our contribution perhaps or subsidy on price is not driving the momentum or growth that we're looking for, then we'll do something with respect to price and we may or may not continue with that opportunity. So that could be a negative impact in terms of sales, but a positive impact in terms of gross margin. So that is an appropriate outcome one that frankly we've embraced as it relates to the results in the regions. Secondarily, just as an example, we have channels to your question around channels, where our cost to serve maybe food service is an example, generally against the mean or the averages of our supply chain delivery size and economics generally has a lower drop size. And so, it's important that we get an appropriate price against that higher cost to serve. So, we're seeing that and those two sort of are part of what we would characterize as the rationalization outcome.
Chris Mandeville: Okay. And Mike just to follow-up on that, looking to Q4 on the gross margin itself, trying to balance lapping the majority of M&A with the potential for continued improvement inflation, how should we be thinking about the gross margin in Q4? I would think that the vast majority of what expansion you've seen has been related to M&A. So, is it more likely than not that there will be flattish gross margins or could they potentially even be down?
Michael Zechmeister: Well, I think your comparison is a better comparison to Q3 first of all and then we do have a little bit acquisition impact to Q4 but obviously we don't give the gross margin guidance on a quarterly basis.
Chris Mandeville: Okay. And then I guess just the last one for me. Steve is there any update on the Tony's expansion with the meat and cheese, just trying to understand what's left to bring that nationally and is there an additional need for infrastructure spends that's required to get that national or do you still just need to get an anchor customer. And I suppose when thinking about just simply maybe the need to get an anchor customer, what's prohibiting you from further penetrating some of your existing accounts where I would think you'd be able to provide them with more favorable economic versus some of these mom-and-pops?
Steve Spinner: Yeah, I think we are successfully moving the product categories across the country and have done so. We have some, not all, but some close to all in several of the DCs around the country and if you recall at our Albert's facilities, those facilities not only carry produce, but they also carry a pretty full line of protein and specialty cheese as well. And so again I wouldn't get into the specifics of which cheese taste have which product because we view that as a competitive advantage for us. We feel good about the timing of how these products are rolling out across the country and the customers that we're getting into bed with, I think is taking a little bit longer than I had hoped. But again, some of that is clouded by deflation across proteins, general softness within the retailers, but long-term we feel really good about where we are.
Operator: The next question is from Kelly Bania of BMO Capital Markets. Please go ahead.
Kelly Bania: Hi, good evening. Thanks for taking my question. Apologize if I missed this, but the GAAP earnings guidance is unchanged, but the adjusted earnings guidance, can you just clarify is that also unchanged and is the $4.5 million to $5 million in cost savings, I believe that's new in this fiscal year. Can you just clarify that?
Michael Zechmeister: Yeah, EPS guidance is unchanged. What we did was we took the guidance that we announced last quarter and we added to it and so when we talk about $4.5 million to $5 million of impact on fiscal '17 if you recall back to last quarter, we said $3.5 million to $4 million of restructuring expense, but that expense would be offset in the fiscal year. So, we didn't break out the savings by quarter, but we did end up with $3.9 million of expense. So, you could expect that in the back half of the year that we have similar amount of savings related to that. And so, then we come back with the new restructuring here, which we just talked about $3 million or $4 million and in this savings of fiscal '17 associated with that. So, you combine what we did last this time with what we did this time and that's how you get to that sales for fiscal '17.
Kelly Bania: Okay. I though the Q3 restructuring majority of those savings were going to be seen in fiscal '18?
Michael Zechmeister: Well, it's about half and half.
Kelly Bania: Okay. So, I guess the bigger picture question I just wanted to ask, is there anything that you feel like you're seeing in the business today you make the comment about the broad-based softness, the rationalization. It sounds like inflation maybe starting to turn and it's cyclical but is there anything that you feel like you're seeing that makes you change how you would view your long-term algorithm in terms of sales and EBITDA, any change to that view I guess.
Michael Zechmeister: No, I don't think so.
Operator: Thank you. The next question is from Zach Fadem with Wells Fargo. Please go ahead.
Zach Fadem: Hey guys. So now that some of the recent acquisitions are yearend and I am particularly curious about the deals you've done in produce and fresh. Would you say you've been successful thus far cross-selling these businesses with your existing customers as you work to build out the store? And as we think about future M&A I know there is no hurry, but what kind of deals would be most attractive to you today?
Steve Spinner: Yeah, we've learned a lot obviously by going through four acquisitions in the last year or so and I think we certainly feel as though acquisitions in the protein categories, natural proteins in particular deli specialty cheese imports, those are the product categories that I feel like we will spend a lot of time from an M&A perspective. I think on the produce side at this point we have a fairly built out produce model and we understand what it takes to compete in each one of these geographies. So, it's unlikely that that will continue to play a very strong role in our future M&A growth. But just on an ancillary categories that we'll look at over time, we're very committed to being a bigger and better and fresh.
Zach Fadem: Okay. And can you update us on how you're thinking about the overall industry growth rates going forward for perishables versus non-perishables and when you think about your business, first of all, what's the current mix today and what do you think is the right mix between the two for your business over the long term?
Steve Spinner: Well we don't have anywhere near the kind of share fresh that we enjoy in our store natural or organic and we haven’t provided that disclosure, but clearly, we're very focused on getting the share in fresh to be close to what our share in natural is. When you look at the growth rate across fresh categories, don't hold me to this because I know I just look at it recently and it's a little bit different by product category whether it be in deli or in fresh protein plus cheese and fresh produce, but I believe in the natural channel not the conventional channel, but in the natural channel, the protein categories are growing faster than the rate of the growth of the industry overall.
Zach Fadem: That makes sense. Really appreciate the time. Thank you.
Operator: Thank you. The next question is from Bill Kirk of RBC Capital Markets. Please go ahead.
Bill Kirk: Thank you for taking the question. My question's on the UNFI Next program. And I guess, related to it, is there any update on progress and maybe what impact it could have on number of SKUs in your portfolio or maybe number of inventory days on the balance sheet?
Sean Griffin: Yeah, this is Sean, Bill. With respect answer the last part of the question, I would be able to respond to the impact on inventory and the balance sheet, but I will say that the next program is working. We've expanded geographically so that we've got great supplier development resources across our network, sourcing new and exciting brands and incubating these brands and really collaborating with our sales organization regionally and geographically to make sure that we're connected to the retails. So, we're spending a lot of time on Next and we think we've got a lot of runway ahead of us.
Bill Kirk: Okay. And then maybe going back to the acquisition contribution, just for a point of clarification. The seven points to top line in the quarter, does that include all four acquisitions? And the reason I ask because I think in 1Q, when you gave the number, it only was three of the acquisitions that were in that contribution number, so I just want to make sure it's all four?
Steve Spinner: Yeah, it's a good question. Previously we had excluded Global because that was the business that we integrated almost immediately, but now that we've gotten to the point where we've lost complete visibility on them, we put that back into seven percentage points to conclude all four acquisitions.
Bill Kirk: Okay. Thank you. That's all for me.
Operator: Thank you. At this point I would like to turn the conference back over to management for closing remarks.
Steve Spinner: Thank you all for joining us today on our call this afternoon. We look forward to speaking with you on our fourth quarter call in September. Have a terrific summer.